Operator: Good day, ladies and gentlemen, and welcome to the 4Q 2013 and FY 2013 General Dynamics Earnings Conference Call. My name is [Whitley] (ph), and I'll be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Miss Erin Linnihan. Please proceed, ma'am.
Erin Linnihan: Thank you, [Whitley] (ph), and good morning, everyone. Welcome to the General Dynamics' fourth quarter conference call. As always, any forward-looking statements made today represent our estimates regarding the Company's outlook. These estimates are subject to some risks and uncertainties. Additional information regarding these factors is contained in the Company's 10-K and 10-Q filings. With that, I would like to turn the call over to our Chairman and Chief Executive Officer, Phebe Novakovic.
Phebe N. Novakovic: Thank you, Erin. Earlier today, we reported fourth quarter earnings from continuing operations of $1.76 per fully diluted share on a revenue of $8.1 billion and earnings of $624 million. It was a good quarter, consistent with our previous guidance and analyst expectation. For the year, we had fully diluted earnings per share of $7.03 on revenue of $31.2 billion and earnings from continuing operations of $2.5 billion, a return on sales of 8%. It was a very solid year from an operating perspective. EPS, after charge in discontinued operations related exclusively to the settlement of the A-12 litigation, is $1.40 for the quarter and $6.67 for the year. The settlement represents significant risk mitigation for the Company and ends more than two decades of litigation with the government on favorable terms. We had a tremendous quarter from a cash generation perspective. Free cash flow from operations was $1.4 billion or 222% of earnings from continuing operations. For the year, we had free cash flow from operations of $2.7 billion or 107% of earnings from continuing operations. This outpaced 2012 by $429 million and demonstrated our commitment to the efficient conversion of earnings into cash. Let me give you some details on the quarter and the year in each of the business groups. First, Aerospace. Sales are up over Q4 2012 by $274 million, 14.7%, and essentially flat sequentially. Earnings significantly outpaced year ago quarter due to the write-off at Jet Aviation in that quarter. Without regard to the write-off, on a non-GAAP basis, earnings still outpaced the year ago by $88 million or 34%. By the way, the basis for all non-GAAP comparisons could be found on Exhibits K, L and M in the press release. Compared to Q3, operating earnings are down as anticipated by $21 million, principally due to mix shift. For example, lower margin mid-size green aircraft revenue essentially doubled in the quarter while G550 and G450 green revenue declined. As a result, margins decreased by about 80 basis points as we had predicted on last quarter's call. G&A expenses were also somewhat higher at Gulfstream as a result of commissions on strong sales activity. Net R&D was similar to the prior quarter. There was also a modest loss on pre-owned sales as well in the quarter. Jet remained nicely profitable in the quarter, but the contribution was not as good as it was in Q3. Nevertheless, margin at 16.3% was slightly ahead of our guidance and analyst expectations. I was particularly pleased with the order book in the quarter. Orders at a book-to-bill of 1 to 1 or greater, as occurs here, not only increased backlog but add backlog where it was needed in the 550 and 450 programs. To help you understand this, let me say that while we continue to sign up G650 buyers, it is nowhere near the rate of deliveries given the duration of this backlog. For the last year, book-to-bill on this product has averaged 0.4 to 1. Given this fact and aggregate book-to-bill of 0.7 or 0.8 to 1 in a quarter, it is very strong for us. This will of course change as the rate between order and entry into service for the G650 moves closer to 24 months, when the standard should once again return to 1 to 1. On occasion, it is useful to reflect on the guidance given last year at this time and compare it with the actual outcome. In the Aerospace group, we guided to revenue growth of 16% and operating margins in the mid-15% range. Our actual performance reflects a revenue increase of 17.4% and operating margin of 17.4%, almost 200 basis points better than guidance. This very good result was attributable to a better than expected recovery of Jet Aviation, a very successful execution of 650 deliveries, and better than expected performance in Gulfstream's large service business. All in all, a very good year at Aerospace. At Combat Systems, it is a story of disappointing revenue and outstanding cost and margin performance. In the quarter, sales were down $325 million or 16.4% but earnings were materially better because of the large write-off at ELS in Q4 of last year. Even if we disregard those write-offs, earnings are only down 8.2% on the strength of improved margins across the board. The story is much the same for the full year. Sales are down $1.9 billion or 23.4% but earnings are up $241 million or 36.3%. On a non-GAAP basis, earnings are down $164 million or 15.4%, once again demonstrating positive operating leverage with improved margins year-over-year in each business. As you all know, we had extreme difficulty predicting revenue in this group throughout the year. Our initial guidance was to expect revenue to be down 6% for the year. We retreated from that initial forecast quarter-over-quarter but never did catch up with reality, which was a revenue decline of 23.4%. What made us so wrong? The difference between the initial guidance and the final revenue result is $1.4 billion. Of that, about $500 million is attributable to the impact of sequestration and the shutdown. This was the only group to be affected materially, in no small measure because of the Army's response to both the shutdown and sequestration. Army spending slowed during the year which hit us hard in the fourth quarter as they worried about the potential shortage of funds and its impact on their ability to take care of the war effort. Our service set moreover reacted very cautiously to disruptions in their funding stream. Another roughly $500 million was attributed to a large international order expected early in the year that kept slipping to the right in very protected negotiation. The balance was from various programs where funds were appropriated but not obligated by the customer or obligated in smaller amounts as well at several additional international orders. Fortunately, this revenue shortfall was offset in part by dramatically improved operating performance resulting in higher than anticipated margin rate. Marine Systems, revenue was off 2%, $34 million, compared to the year ago quarter and down $67 million to 3.9% sequentially. However, revenue was up almost 2% for the year, about $120 million. Operating earnings were down $37 million, 18.9%, against the year ago quarter, and down $11 million, 6.5%, sequentially. For the full year, earnings were down $84 million or 11.2%. The earnings decline against last year and last year's fourth quarter is due entirely to the end of the profitable T-AKE program. This group was highly consistent in both revenue and earnings throughout the year with a 9.9% margin rate for the year. All of the shipyards performed well in the quarter and for the year. In the Marine group, we guided you to a revenue increase of 2%. We were very close with an actual increase of 1.8%. We forecasted margins in the low to mid 9% range and wound up at 9.9% on the strength of very good operating performance in each of our shipyards. All in all, a very good year for the Marine group. IS&T is the business group that held up well in a difficult environment. Revenue in the quarter was up $114 million or 4.4% against the year ago quarter. It was up a similar amount, 4.3%, sequentially, and up $251 million or 2.5% for the year, really quite good for a short cycle business in last year's turbulence. Operating earnings of $196 million in the quarter were materially better than the fourth quarter a year ago, because if you will recall, significant charges were incurred in that quarter. However, even on a non-GAAP basis, in other words without regard to the write-offs, operating earnings improved quarter-over-quarter by $68 million or 53.1%. On a sequential basis, operating earnings were off by $20 million. For the year on a non-GAAP basis, earnings were within [$3 million] (ph), so essentially flat. On this call a year ago, I gave you guidance for this group that forecasted a decline in revenue of 5% and operating margins in the low 8% range. It turned out that revenue was up 2.5% and margins were 7.7%. Margins were pressured in two of the businesses units by severance and other restructuring costs as well as the failure of the business in the U.K. to meet its plan. All in all, the end result was consistent with guidance but achieved in a different way. On a Company-wide basis, we provided EPS guidance of $6.60 to $6.70. We wound up at $7.03. About $0.09 of that improvement came from share repurchase, another $0.09 from a slight rate lower than planned tax rate, and the balance from operating performance. So let me give you a few thoughts about 2014 initially by business group. In Aerospace, we expect revenue to be about $9 billion, up around 11%. Margin rate should be around 17%, somewhat down from 2013 on continuing mix shift. However, operating earnings will be up 7.3% to 7.5%. I should add that margin rates will be lower in the first three quarters with a dramatic increase in the fourth. In Combat Systems, we expect a more modest revenue decline of about 4% to 4.5%. Embedded in this plan is about $1.2 billion of revenue for the same international program that slipped to the right last year. We anticipate a first quarter order. If not received on that schedule, we will have further erosion of revenue from this guidance and we will address its impact directly with you in the second quarter. The majority of next year's domestic revenue is in our backlog and has been de-rated. So, absent more delays on the international front, we should be pretty close to our estimate of revenue. Margins are expected to be around 14%, still very respectable. The Marine group is expected to have revenue growth of 2.5% and a margin rate in the 9.5% range, resulting in a very modest slip in operating earnings, entirely the result of mix shift. Finally, in IS&T, we expect a revenue decline of almost 20%, but an improved margin rate of 8.2%, 50 basis points better than last year. Almost all of the anticipated revenue is in backlog and our plan shows this year is the low watermark for revenue. All of this rolls up to an operating plan of about $30 billion of revenue, EBIT rate around 12%, and a return on sales of roughly 8%. This plan is purely from operations, assumes a 31% tax rate and assumes we buy enough shares to hold the share count steady with year-end figures so as not to permit dilution from option exercises. This rolls up to an EPS guidance of $6.80 to $6.85 per fully diluted share, that compares with last year's guidance of $6.60 to $6.70, at the same time on the same basis. So much like last year, beating our guidance must come from outperforming the plan and the use of capital to repurchase shares. With respect to share repurchase, as is obvious, we did not return all of our free cash flow in 2013 to our shareholders despite our intention to do so. This was because we were constrained by a pension funding rule that our CFO, Jason Aiken, will explain to you shortly. It is our intention to make up for last year in the first quarter. With that in mind, we are establishing imminently an accelerated share repurchase plan for the repurchase of 11.4 million shares, the remainder of our current authorization. We will seek additional share authority at our February Board of Directors meeting for a share repurchase plan throughout the year. I would now like to turn the call over to our new Chief Financial Officer, Jason Aiken.
Jason W. Aiken: Thank you, Phebe, and good morning. I want to review a few financial items with you before the question-and-answer period, starting with interest expense. Net interest expense in the quarter was $23 million versus $41 million in the fourth quarter of 2012. The full year's interest expense in 2013 was $86 million, which was in line with our guidance. This was down $70 million from 2012, reflecting the impact of our $2.4 billion debt refinancing completed in December 2012 that lowered the weighted average interest rate on our outstanding debt to 2.2%. For 2014, we expect net interest expense to be approximately $90 million. At the end of the year, our balance sheet reflects a net cash position, and by that I mean cash in excess of debt, of approximately $1.4 billion, an improvement of more than $2 billion over our net debt position last year. Moving on to taxes, our effective tax rate was 30.7% for the quarter and 31.1% for the full year. The fourth quarter and full-year rates were slightly lower than anticipated due to a tax benefit associated with the shutdown of a product line in one of our IS&T businesses. That said, we expect an effective tax rate in 2014 and for the foreseeable future in the range of 30.5% to 31%. So you can consider a rate in this range to be the new normal. This is driven by a variety of puts and takes, but primarily by higher expected foreign earnings. In the quarter, as Phebe noted, we recorded a charge in discontinued operations for the settlement of the long-standing dispute with the U.S. Navy regarding the termination of the A-12 program. This charge reflects our agreement with the Navy to provide $198 million credit toward the design and construction activities on the DDG-1000 program. We expect that this amount will be expended through 2017 as the program progresses. This agreement puts behind us litigation that's been outstanding for over 20 years, and recall that following the Supreme Court's ruling a few years ago, we faced the prospective years of more costly litigation without the possibility of any upside beyond a walkway. The charge is shown net of the related tax benefit of $69 million for a net loss in discontinued operations of $129 million. A quick point on pensions. During 2013, we contributed approximately $600 million in cash to our pension plan. And for 2014, our funding expectation is about the same, just slightly lower, with most of that funding expected to occur during the third quarter. And finally, as Phebe alluded to, I'd like to address capital deployment in the fourth quarter. As you'll recall, our intent in 2013 was to deploy essentially all of our free cash flow in a shareholder friendly manner while maintaining a strong balance sheet. Through the first three quarters of the year, we were headed down that path and up to that point we had refunded 87% of our free cash flow in the form of dividends and share repurchases. As we entered the fourth quarter, we got tripped up by a pension funding rule that constrained our ability to deploy any more capital through the end of the year. Under the funding rules of the Pension Protection Act, the substantial charges we took in the fourth quarter of 2012 placed limits on the amount of capital that we could deploy to shareholders. Once we hit the cap, any additional share repurchases or dividend payments would have to have been matched dollar for dollar with over and above contributions to our pension plan. This would have made any additional share repurchases highly inefficient given our planned pension funding profile and the timing of our recovery of pension contributions under our contracts. As a result, we refrained from executing any additional share repurchases in the fourth quarter after we hit the cap. At the end of the year, we sit with $5.3 billion of cash on the balance sheet and anticipate another year of strong cash generation in 2014. That leaves us well-positioned to embark on the capital deployment strategy for 2014 that Phebe outlined for you just a few minutes ago. Erin, that concludes my remarks and I'll turn it back over to you for the Q&A.
Erin Linnihan: Thanks Jason. As a quick reminder, we ask participants to ask only one question so that everyone has a chance to participate. If you have additional questions, please get back into the queue. [Whitley] (ph), could you please remind participants how to enter the queue?
Operator: (Operator Instructions) Our first question comes from the line of Sam Pearlstein with Wells Fargo. Please proceed.
Sam Pearlstein - Wells Fargo Securities: Phebe, I had a question about the capital deployment that you just outlined, and I know it's a little bit more than one question because it's a little bit multipart, but if you're going to have an accelerated share repurchase program of 11.4 million shares in the first quarter, won't that reduce the number of shares for the full year right away, and so why would you guide to a flat with the fourth quarter number? And then just in general, can you talk about your thoughts about $5 billion on the balance sheet and what the right number for you to carry in terms of cash is?
Phebe N. Novakovic: So, we have built our plan like we did initially last year, and that is, assuming we cover dilution. We don't know the full effect of the cost or the timing of that, once we put in place the accelerated share repurchase. So, as we go forward, we will clearly adjust the guidance to reflect the impact of that plus additional share repurchases. So with respect to the balance sheet, we have accumulated a fair amount of cash, a lot of cash on that balance sheet, and we are very comfortable with seeking additional authority from our Board, both with respect to dividends and share repurchases. So we are mindful of that cash on the balance sheet, we fully recognize that that is not the best use of cash, and you will see us very actively this year returning a lot of that cash to our shareholders, keeping in mind that we cover and protect our debt rating. So, I hope that gives you some color.
Sam Pearlstein - Wells Fargo Securities: Thank you.
Operator: Our next question comes from the line of Joe Nadol with JPMorgan. Please proceed.
Joseph Nadol - JPMorgan: Could you give a little more color on demand at Gulfstream? It sounds like you're pleased with the order intake in the 450 and 550 in the quarter, but maybe just give us a sense as to how far your backlog extends and how many deliveries you're planning on this year?
Phebe N. Novakovic: Okay. We are expecting 118 large-cabin deliveries and 40 mid-cabin. So, that's up from next year. Our fourth quarter, as you noted, Gulfstream was our strongest quarter in the past two years across all of our product lines and was particularly strong on the 450, 550 and 280. Going forward, our pipeline is robust which harbours well I think for our performance going forward. I think you can also – to think a little bit about where we are in our backlog, I think it helps to understand that the next available slot for the 280 is in the 9 to 12 month range, for the 450 and 550 in the 12 to 15 month range, and 650 in the 45 month range. So I think that gives you a little additional calibration. And you may have also noticed that we had a significant number of options in the quarter across all of our portfolio products. Consistent with our past accounting treatment, we did not treat those as orders. Let me tell you how it works. Where you exercise – when you exercise the option, then you get a slot and then we book the order with sufficient down payment. So we are confident in the reliability of these options but we are booking them according to our previous practices.
Operator: Your next question comes from the line of Robert Spingarn with Credit Suisse. Please proceed.
Robert Spingarn - Credit Suisse: With the latest budget deal, Phebe, I think we have a little better visibility at least into the total DoD authority on the top line, which seems to be flattish I guess through fiscal 2015. So based on your comments or in concert with your comments on Combat and on IS&T, should we look at calendar 2014 as the bottom for those businesses, and if you don't get the international order, then how do we look at Combat?
Phebe N. Novakovic: Well, okay, let me take that in two parts. It's really quite a blessing and a definite upside, both for our customer and for us to have some stability in program funding, reducing the uncertainty which is very, very difficult to manage to. So that is, the Congress are very grateful for their attempt to get back to regular order. Our programs, the Marine group, we're fully funded in anticipation of what we anticipated. Combat Systems, we received funding again in line with our expectations. And the same is true in IS&T. So all in all, I think we've got a pretty solid funding base. Now let's talk a little bit about the bottom, okay, because this is kind of where your – and I'll take that also in two parts. Let's talk about Combat. We believe we're almost there and that the major slide is behind us. Let me give you a sense of the internal dynamics of that group. Two of our three businesses have Army exposure, OTS and Land Systems. OTS has maintained very stable and consistent revenues. Land Systems, with its exposure to Army demand and combat vehicles, have seen their revenue decline substantially. On the other hand, we see increasing orders in Canada and the U.K. on the SV program. So, the Army is becoming a smaller source of revenue for us, and as I noted, we have significantly derisked our Army revenue for this year based on the experience we had with the Army last year and how they responded to the needs of the war and the available funding. So, one of the things I think that's important to understand is, these businesses are earnings and cash powerhouses. So, that gives me a lot of confidence that we'll continue to manage through whatever changes we have in revenue. But I think we're getting close to the bottom. Now, let me give you a little bit of context. I gave you the estimate for our international order of about $1.2 billion and I'll address that with you if that doesn't come-in in force during the second quarter, but let me tell you, I wouldn't have – based on last year's experience, I wouldn't have put it in this year if I weren't very confident that that is imminent on the horizon. And I think finally, just to add a little bit of textural context for you, if you think about GD at large, our Army exposure declined significantly during the course of 2013, which shouldn't surprise you given what happened on the Combat Systems side in revenue, from about 16%, and going forward for this year, across all of GD, the Army is now down to 10% which I see as another risk mitigation factor in thinking through our revenue. So IS&T, C4 is the primary business in IS&T that is affected by the exposure to the Army and we have again derisked that plan, and that's in part what's driving some of the revenue decline. So I think I've given you sort of a multifaceted answer.
Robert Spingarn - Credit Suisse: So, it sounds like it's this year, the timing could vary between the segments but…?
Phebe N. Novakovic: That's my view, and look, we learned – and this is new territory for both our customers and us in understanding how they were going to react to their funding pressure. So we have taken that learning and incorporated it into our thinking about sales going forward, and that's why we have derisked those plans.
Robert Spingarn - Credit Suisse: And you feel pretty good about tactical comms and the IT services area as compared to the ISR?
Phebe N. Novakovic: Yes, so let me give you a little bit of color because implied in your question drives us to a related issue of the decline in revenue at IS&T.
Robert Spingarn - Credit Suisse: Right.
Phebe N. Novakovic: So, first, let me say that last year was better than expected revenue year, right. We had predicted we'd be down about 5% and instead we're up 2.5%. So some of the decline we anticipated last year is showing up this year. Second, as I noted, we built an IS&T plan in which the majority of our revenues in the backlog have been derisked. So there's very little additional risk on the downside. Let me give you, to your question, a little bit of color by business unit so you can understand some of the changes. GD IT last year had a particularly great year in revenue as a result of their increases in the commercial wireless demand business and their call center operations in healthcare. So in 2014, we're seeing their revenue decline of about 10% come from the slowing in the call center revenue but a considerable slowing in commercial wireless, and I would remind you that our wireless business tends to be pretty lumpy. On intel, for our intel business, they're looking about at 10% revenue decline, which is largely driven by a mix across their lines of business that have more to do with the anticipated start times of new contracts. So where does that leave us? The real story here is in C4 where our revenues are declining by about a third. So let me help you think about this business to put this in some context. Think about it in four buckets, U.S. Army, Canada, U.K., and U.K.-based international. We held out pretty well in 2013 in C4 Systems because a majority of our sales were in our backlog, but the challenge is that the U.S. Army sales last year showed up in considerably lower volume in 2014 across our product lines, networking, communication and encryption. And it is in those lines of business that we have significantly derisked our plan going forward. Hence, part of the drive of the primary determinant of the third, 33%, reduction in sales. So, all right, that's that one bucket. As for Canada, our business is strong and I'm very optimistic about the future of the MHP program. We're very pleased that Crown has agreed to go forward with that program and we have a very strong and cooperative working relationship with our customer, Sikorsky. I also like how our Canadian commercial business looks. Finally, U.K. and international, you'll recall last year that we were pretty disappointed with the poor performance of GD U.K., and as a result we moved all the non-vehicle business under C4. Remember that Combat Systems, Land Systems in particular, picked up the SV program, which is where it belonged. And C4 has done a great job. It's taken cost out in stabilizing that business. So I think, to be just real clear here, there is considerably more upside here than downside on the revenues, but I would ask you not to get too far ahead of me.
Robert Spingarn - Credit Suisse: Right. Well, that was tremendous color. Thank you very much.
Operator: Your next question comes from the line of Myles Walton with Deutsche Bank. Please proceed.
Myles Walton - Deutsche Bank: Phebe, I wanted to go back to capital deployment for just a second. In particular, the 2014 cash flow that you'll generate, if you can give us some color on net income to free cash flow conversion? I know you tampered that expectation a bit for 2013, you overachieved it to the sort of 400% plus, just curious your outlook for 2014. And then, to 2013 you had committed to returning it to shareholders a vast majority and you're fulfilling that here in the first quarter. Is it the same commitment for the cash generated in 2014?
Phebe N. Novakovic: Yes. So look, I don't want to give you an exact cash number but I can tell you this. We anticipate cash for 2014 in line with our previous history. We may see some puts and takes on timing with respect to payments but we are – you'll see cash conversion that's very similar to our prior experience and our full intention to deploy almost all of that, not all, of that free cash flow to our shareholders. Okay?
Myles Walton - Deutsche Bank: Yes, perfect. Thanks.
Operator: Your next question comes from the line of David Strauss with UBS. Please proceed.
David Strauss - UBS: Following up on Myles' question, Phebe, could you maybe just address working capital and how you view that? I mean over the past couple of years, inventory has been a significant drag, I think receivables have been a drag as well. Just how you see the opportunity there to generate some cash out of working capital? And then on M&A, I know you took a break here in 2013 on the M&A side, but just how you're thinking about that relative to what you're committing to in terms of cash return to shareholders?
Phebe N. Novakovic: Sure. So, you may recall at the beginning of last year, I told you we were returning back to basics, focusing on operations. A key part of that focus on operations is a wholesome cash generation capability, and I think we've demonstrated that, and we do that by working our working capital hard and we've done that. We also had a great collection year. So, you'll continue to see us work our working capital. Each one of our business units is focused on that like a laser. So I'm confident that we'll do well on that regard. So M&A, look, I'm going to tell you exactly what I told you last year. I don't have anything on my horizon at present, and so I don't anticipate our behaviour with respect to M&A to be any different this year than it was last year. Okay?
Erin Linnihan: Let's take the next question please.
Operator: Our next question comes from the line of Carter Copeland with Barclays. Please proceed.
Carter Copeland - Barclays Capital: Phebe, I wondered if you might address, in just sort of a general commentary, I mean a year ago at this time you said you were very internally focused on the business, you did a good bit of restructuring, you moved some town around, you made some organizational changes. I guess from a high-level, how did things play out in 2013 relative to your plan and how are you thinking about 2014 and how might that be different? I mean I can appreciate you never really finish driving improvements in the business, but what sort of opportunities do you think will be created this year from the improvement you tried to undertake last year?
Phebe N. Novakovic: So let me take that in a couple of parts. Referring back to my answer in the last question, we had our back to basics which focused on margin expansion, ROIC, and good cash conversion, and I think with respect to each one of those metrics, we performed very, very well. We had 11.8% operating margins, 107% free cash flow, return on sales of 8% and an ROIC of 16.6%. So, wholesome directionally correct, and that doesn't happen without the blocking and tackling on operations every single day. So the team did a fantastic job living up to their opportunities and we're going to do the exact same thing again this year. We have talked to the management team about the need to continue to focus on doing well by our shareholders and creating value. So I'm very comfortable that you're going to see more of the same. To give you kind of a sense of where we are, and I think embedded in your question is, so kind of how do we see GD, right. So, let me give you what I think about the value proposition for us and let me explain it to you in this way. For me in my mind, Gulfstream is the primary growth engine for both earnings and revenue. Marine is the steady producer of earnings and cash with growing revenue at about 5% over the next few years. So, pretty good and pretty solid. Combat is a strong operating business, as is C4, but in both instances they are exposed to the U.S. Army. The rest of IS&T remains stable. So, think about this, let me give you a little bit of granularity on this one aspect. Only two of our 11 businesses are in a significant down cycle, Land Systems and C4, from Army exposure. So our imperative there as well as in the rest of our business is to extend our margins, we're going to reduce our PP&E and working capital to the minimum required to support our revenue and manage for cash. So that is – and I think when you think about the composition of the businesses within GD, I think that gives you sort of an overview of how I'm looking at it and how I bound the risk. Finally, I would add that international revenues are increasing from 25% in 2013 if you include, which I do, three FMS to 30% in 2014. So that again is another driver of the value proposition in GD. We don't make a lot of noise about our international sales but we have year-over-year improved that percentage. So I think – I hope that gives you a little bit of the color at 50,000 feet.
Carter Copeland - Barclays Capital: No, it does. I just wondered if there was anything sort of lesson learned as you sit down and craft a set of plans again a year on in this year's plan and say, what do I wish I would have known or implemented last year that I didn't?
Phebe N. Novakovic: Well, so I think one is obvious, we were wrong about when our fairly large international order was going to happen. So, as I said, I wouldn't be forecasting that for this year if I weren't particularly certain that it was coming [indiscernible] I got in some places on this subject. But I think the most profound lesson learned here is that we had unprecedented and unforeseen behavior by our Army customer, all for good and valid reasons, but their reaction to the changes in their funding stream were not anticipated by us. So we've got a year of learning of that under our belt and that is why we have derisked our U.S. domestic Army exposure in all of our businesses that have that exposure. Does that help?
Carter Copeland - Barclays Capital: Yes, ma'am. Thank you very much.
Operator: Our next question comes from the line of Doug Harned with Sanford Bernstein. Please proceed, sir.
Doug Harned - Sanford Bernstein: I wanted to ask a question about the G650 because I assume you just had a great year of margins at Gulfstream and when you go forward here, I'm assuming you still expect the G650 to be a strong contributor to margin improvement over time. But I'm interested in the timing, when you expect that to be additive to margins, can that happen in 2014, and how should we think about the margin trajectory for that program?
Phebe N. Novakovic: It's additive now. So in terms of clearly earnings, it's slightly dilutive to overall margins simply because we continue down our learning curve. And remember, last year we had a fairly lumpy learning curve on green deliveries because of the disequilibrium that I explained to you last year at this time on the 650 retrofit. But we're through that and we're continuing to see learning improvements on 650 green and on completions. So the margins are going to get better on 650 and I expect throughout this year and into next. I'm not going to give you a real good sense of what the terminal value may be of our margins on that. We don't know yet. So what we led you – what we've guided you to is what we see, what we anticipate in our 650 margin performance, and it's wholesome and it's improving as we would hope and expect.
Doug Harned - Sanford Bernstein: And as you move down that learning curve, you said earlier that the first slots are available about 45 months from now, presumably if you took rate up, you would move down even faster and you would have more operating leverage. I mean how are you thinking about that? 45 months is a long time to not add to a production rate.
Phebe N. Novakovic: So, as you well know on us, we set our production rates at the beginning of every year based on what we believe the supply chain can handle, what our manufacturing, the optimization of our manufacturing efficiency. So as we have factored all of that into setting the 650 production rate, and to the extent that we have any – if that time compresses between order and delivery, we'll notify our customers first of earlier opportunities, but I don't anticipate any significant time compression, at least in the near-term. And look, what we want to be able to do is plan our manufacturing green and delivery that are consistent and improvable and repeatable every single year. So we could pull through, assuming that supply chain could handle it, make that assumption, we could pull forward additional slots and production slots but that is not necessarily good for the long-term. I think it gives us a pop and a pop that's not necessarily repeated in the next year. So, when you're manufacturing complex platforms with a robust and diversified supply-chain, you want to be very mindful of what your supply chain can handle without driving up their cost, which then are reflected in your price. So look, this is a – there's not a year that goes by or even on a quarterly basis that we don't look at, have we set the right production rate, and we're very comfortable where we are now.
Doug Harned - Sanford Bernstein: Is limiting factor here confidence in the longer term demand trajectory or is it getting part of your supply chain fully up to speed, and so you're comfortable with then being able to go to a higher rate?
Phebe N. Novakovic: We are very confident in the long-term prospects for this product. I think it's proven itself and we've seen increasing demand over time, because of all the niches that that product serves. You know, you've got to be careful when you start up a new line, both of which is tough [indiscernible] and this is a primary consideration that you structure your supply-chain. And you can't – the perturbation from a break in your supply chain is very, very difficult to recover from. So that's why we have thoughtful, predictable, managed production rate on the 650, but we are very confident in the demand profile for that airplane.
Doug Harned - Sanford Bernstein: Okay, great. Thank you.
Operator: Your next question comes from the line of Peter Arment with Sterne Agee. Please proceed.
Peter Arment - Sterne Agee: Phebe, I guess I just want to follow up on kind of Doug's question a little bit. First I guess maybe a clarification. I thought you mentioned that G650 green deliveries potentially doubled year-over-year. Was that for the full year or for the fourth quarter?
Phebe N. Novakovic: I think what I said was that we had a mix shift from – at least what I said in my remarks – was a mix shift from the mid-size deliveries. That was really one of the key factors. And then we had some increase in our – considerable increase in our 650 green deliveries but it was a little slower, you might recall that we had anticipated, because of that retrofit issue we have. So next year going forward, we see 650 production ramping up slightly, and that's one of the reasons for the margin performance in the fourth quarter, as we've got a whole – we have a number of deliveries across the board, across our portfolio in the fourth quarter really driven by, by the way, customer demands and preferences and then additional 650 green deliveries.
Peter Arment - Sterne Agee: Okay, and if I could just squeeze in related to that, just the question that I was trying to get at was, it sounds like the disconnect has been eliminated, especially between green completions that you talked about are essentially worked down quite a bit…
Phebe N. Novakovic: Yes.
Peter Arment - Sterne Agee: And then going forward, the 650 sounds like it's back on what was its original plan, where we stop green deliveries would be modestly increasing [indiscernible] I think back in 2011, it was talked about at every 10 to 15 aircraft a year. Is it fair to assume that kind of we're back on that case?
Phebe N. Novakovic: We are but we're going to set our expectations based less on the past and more of our assessment of the future.
Peter Arment - Sterne Agee: Okay, thank you.
Operator: Your next question comes from the line of Jason Gursky with Citi. Please proceed.
Jason Gursky - Citi: Hello there, Jason, welcome to the earnings call. Just one quick clarification question and then one on Combat Systems. Phebe, you mentioned that the 450, 550 deliveries were down in the fourth quarter. Does that mean you were carrying some inventory into the new year that's going to get worked down, so that's the clarification question? And then I would love to, if you would, just a couple of extra minutes on the outlook for Combat Systems. First, what's changed, what gives you more comfort now on this international deal, so if you can just kind of qualitatively speak about why we're so close now? And then maybe a little bit of commentary about the opportunities and risks in other areas of Combat Systems that you see over the next couple of years. We've got some debate going on about the ground combat vehicle, this chatter about the potential cancellation of program up in Canada, so those will be risks, and I was curious if there are any other opportunities out there?
Phebe N. Novakovic: All right, let me try to get them in order and if I forget one of your sub-questions, you can remind me. Inventory, we don't have any on the 450, 550, we don't have buildup that we're carrying into next year. So let me give you a little bit of color on this international order. We are essentially done with the negotiations and we believe that we're going to move forward pretty quickly, but I am not about to get ahead of our customers here. But I can again reassure you that there is no way I would have put this into the plan had I not been confident that we wouldn't be repeating last year. So look, with respect to opportunities and risks, let's think about that. Land Systems, and again this is largely we're talking about Land Systems, Land Systems have opportunities both in Canada across the whole variety of programs that we were not even materially affected by Canada or affected at all by Canada's cancellation of that program. They also have increased revenue opportunities and earnings opportunities on the SV program in the U.K. Both are very comfortable with our performance on that program. GCV, we factored hardly at all into our plan. We've got Strykers factored into our plan at a derisked basis, reflecting how the Army executed the funding. Take for example what we used as our predicate is the funding profile for the third Stryker brigade. It kind of came in lumps, little lumps, as funding became available. The Army is dedicated to modernizing its Stryker fleet with these double-V-hulled that have enormous advantage in survivability of our troops in the event of attack. So it's a life saver for them literally and they are committed to making that happen. They're just going to have to execute funds as they become available. So we have assumed going forward that we're going to get lumpy orders and I think that's appropriate. Tanks, for our Abrams tank program, we got about 100 million in this last build that we're going to continue to work in U.S. and international orders to bridge Lima until – which is where, as you well know, we do the tank manufacturing – until the 2018 timeframe when the Army begins to or expects to begin their modernization effort. And by the way, with respect to that, I think that the loss of critical skills and the very high cost associated with the production break at Lima are very well understood, and I personally am very appreciative for the leadership and support that we've received this last year from the Congress. So I think that we have taken a very, very candid, realistic look at each one of our programs, and the ones that we think are vulnerable, we have had very, very, very small portion in our – our sales estimate represent a small portion, and we have adjusted our expectations on our more mature programs in line with our experience over how Army is executing its funds. Okay?
Jason Gursky - Citi: Okay, great. That's great. Thank you.
Operator: Your next question comes from the line of Howard Rubel with Jefferies. Please proceed.
Howard Rubel - Jefferies & Company: Looks like I can get two like everyone else, so I'll see what I can [ask] (ph). You have down revenues but you have up headcount. How do we square that?
Phebe N. Novakovic: Yes, so here's the thing. Our headcount went up – and let me parse that for you – our headcount went up primarily because in the last few months, GD IT hired about 8,000 new employees to cover the ramp-up of the demand in the call center in their healthcare portfolio. And by the way, those are cost-plus contracts, so people equals revenue, right. So offset by that – and what that does is sort of camouflage the fact that we've had a 30% decline in our employment at those two businesses where we crossed actually, across Combat and within C4, of their employment. So, part of it is that we've got that smaller businesses but one of our business is adding a lot of employees to it. Okay, does that make sense to you?
Howard Rubel - Jefferies & Company: Yes, totally. And the other thing is, when you sort of gave us this outlook for the world for your business, you didn't include the benefit from either the ISR, if I'm correct, and also whatever else you might do. So how do you put sort of your EPS growth as part of the overall operating metric that you'd like either your business units or in fact the Board sort of ask of the officers of the Company? And then just balance that against ROIC, both of which are very important.
Phebe N. Novakovic: Yes, so we are – we built our plan and I gave you the original initial guidance on where our EPS is based on, what we almost always do, and that is anticipate a share repurchase sufficient to cover the dilution, we didn't anticipate or we didn't put into our EPS estimate at this juncture what the results of the share repurchase are going to be, in part because we have to work out some of the cost structure and timing around that. So I think you can rest assure that going forward, probably even in second quarter, we'll give you an update of what was that looking like to us. So with respect to ROIC, as you know, we drive that, there are two components, the numerator and the denominator. Our business units are responsible for the numerator and in no small measure. Our corporate headquarters is responsible for the denominator. So we anticipate an ROIC improvement against our plan for the remainder of the year but there are an awful lot of moving parts here. I would tell you that we significantly outperformed our ROIC against our internal targets for last year. So I anticipate that the guys will get at it working hard, bring down working capital and increase [indiscernible], okay.
Howard Rubel - Jefferies & Company: Thank you very much.
Erin Linnihan: [Whitley] (ph), I think we have time for one more question.
Operator: Our final question comes from the line of Cai von Rumohr with Cowen & Co. Please proceed, sir.
Cai von Rumohr - Cowen & Co.: A quick one on Gulfstream. You're going to be up eight large aircraft, I assume that's got to be 650s, and that looks like it's at least 60% of the revenue growth and it has above average margins today and the margins are improving, and I assume the mid-size aircraft, the margins also are improving. How come the overall margins are down?
Phebe N. Novakovic: Largely, a question of the mix shift between the 450, 550 and new 650 and 280, and we're making a calculation about what we see in learning in margin expansion in those two new lines. Also offset in part by, as we talked about before, the significant increases in 450 cost as a result of some of our supplier – renegotiation of supplier contracts for major parts of that airplane. So, I think that Gulfstream has the opportunity to outperform but we're going to take that one step at a time. I would also note that while Jet continues to be profitable in 2014, the contribution is likely to be less as they ramp-up on some of their new revenues that they have in-house. So all up, I think we're looking at some margin compression but we'll work hard to outperform that.
Cai von Rumohr - Cowen & Co.: Thank you. And a quick one on pension. How did you do last year in terms of investment performance and the discount rate because I would assume, given your heavy asset focus on equities, you would have had terrific performance, and given all of that, how come you still have to put $600 million into the plan?
Phebe N. Novakovic: Let me ask Jason to address that but we're going to put about $550 million in, but Jason, why don't you give some color on that.
Jason W. Aiken: Sure. Your presumption is correct. We did perform well in our returns last year. It was somewhere in the ballpark I think of 16.9% return. So we are very pleased with that. As you also alluded to, discount rates did edge up, so our funding status saw some significant improvement. The amount of contributions for the coming year are based strictly on the Pension Protection Act minimum funding requirement and that's what we'll stick to, is funding at those minimum levels for the foreseeable future.
Erin Linnihan: Thank you for joining our call today. If you have additional questions, I can be reached at 703-876-3583. Have a great day.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.